Operator: Good morning, everyone. Thank you for holding and welcome to America's Car-Mart's Fourth Quarter Fiscal 2020 Conference Call. The topic of this call will be the earnings and operating results for the company's fourth quarter for fiscal 2020. Before we begin, I would like to remind everyone that this call is being recorded and will be available for replay for the next 30 days. The dial-in number and access information are included in last night's press release which can be found on America's Car-Mart's website at www.car-mart.com. As you all know, some of management's comments today may include forward-looking statements, which inherently involve risks and uncertainties that could cause actual results to differ materially from management's present view. These statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. The company cannot guarantee the accuracy of any forecast or estimate, nor does it undertake any obligation to update such forward-looking statements. For more information regarding forward-looking information, please see Part 1 of the company's annual report on Form 10-K for the fiscal year ended April 30, 2019, and it's current and quarterly reports furnished to or filed with the Securities Exchange Commission on Forms 8-K and 10-Q. Participating on the call this morning are Jeff Williams, the company's President and Chief Executive Officer; and Vickie Judy, Chief Financial Officer. And now I'd like to turn the call over to the company's Chief Executive Officer, Jeff Williams.
Jeff Williams: Okay. Well, thank you for joining us this morning and thank you for your interest in America's Car-Mart. With the pandemic hitting us in mid-March, we quickly set our priorities and went to work. Our priority number one was, is and always will be, the health and safety of our associates, our customers and our communities. We are focused on trying to go over and above federal, state and local guidelines, which were literally changing by the hour for several weeks. Even though we most certainly consider what we do to be essential, it took several weeks to adjust to the various operating restrictions related to minimizing the spread of the coronavirus. As we determined that we could provide a safe and healthy working environment, our next priority was protecting our balance sheet while trying to get clarity on the recipient, the magnitude, and the timing of any stimulus funds, and then predict consumer behavior when those funds actually reached pocketbooks. We are very confident in our business model and in our future but we're really focused on getting through this without damaging our balance sheet, so that we could really be in a good spot when things return to normal. With significant disruptions in the supply chain and projected decreases in consumer demand, we focused on the opportunity to reset our inventory with the potential to purchase better cars for the same or less money, and then pass that value on to our customers. Our vehicle supply chain remains somewhat stressed and consumer demand for our offering has been strong; so we will continue to strengthen our procurement processes, as we move forward. We are currently light in some spots with our inventory but expect good progress with the initiatives that we started prior to the pandemic. We are actually starting this new fiscal year with about the same inventory investment that we had at the beginning of fiscal year '20. For almost 40 years now, we've been working with credit challenged customers by putting them in good mechanically sound vehicles and then working with them through life's challenges after the sale. Our captive lending structure combined with the character lending nature of our business allows us the opportunity to form deep, long lasting personal relationships with our customers. We give our customers peace of mind as related to their local transportation needs by keeping them on the road. We take the stress out of one area of their life, and for that they place great value on what we offer the market. It is the big responsibility on our shoulders to hold up our end of that bargains but that is our purpose, our vision and that is what we've dedicated our lives to here at America's Car-Mart. We have successfully navigated through many challenges over the years and the pandemic has given us one more opportunity to prove how valuable we are in difficult times. We have always worked with one customer at a time because each situation is different and that will always be our approach. The pandemic has presented an opportunity to us to really walk the walk, and we're very proud of how our team has responded. Now, I will turn it over to Vickie to go over the numbers. Vickie?
Vickie Judy: Good morning, everyone. Thank you, Jeff. We ended the quarter with a revenue increase of 10.6%, upto $196 million [ph]. These were record revenues despite half of the quarter being impacted from the COVID-19 pandemic. We actually had a really great start to the quarter and a successful tax time prior to the start of the pandemic. The increased revenues resulted from a 10.1% increase in sales, volumes were up 1.7% combined with a 9.8% average selling price increase, and a 14.9% increase in interest income. Same-store revenues were up 8.6%. Revenues from stores in over 10 years of age category was up 7%, stores in the 5- to 10-year category was up 10%, and revenues per stores in the less than five years of age category was up about 49% to $16 million. At quarter end 17% or 12% of our dealerships were from zero to five years old, 43% or 29% were from 5 to 10 years old, with the remaining 87% being 10 years old or older. Our overall productivity was 30.2 units per lot per month compared to 30.3 for the prior year quarter. Our 10 year plus lots produced 32.7 units sold per lot per month, compared to 32.8 for the prior year quarter. Lots in the 5- to 10-year category produced 28.1 compared to 28.3, and lots less than five years of age had productivity of 23.1 compared to 21.8 for the fourth quarter of last year. Our down payment percentage was 7.8% compared to 8.2%, and collections as a percentage of average finance receivables was at 15% compared to 16% for the prior year comparable quarter. The extension in term primarily due to the increase in average selling price accounted for approximately 40% of the decline in collections with the remaining primarily attributable to the increased delinquencies and modifications as a result of COVID-19. The average originating term was 31.8 months compared to 29.8 for the prior year quarter; and also up from 30.8 months sequentially. The average selling price was up $1,103 with a corresponding two months increase in the term. Our weighted average contract term for the entire portfolio including modifications was at 33.3 months compared to 32.1 for the prior year. The weighted average age of the portfolio was basically flat at 9 months. Interest income increased $3.1 million or 14.9% compared to the prior year quarter, primarily due to the $73.6 million increase in average finance receivables at a 13.6% increase. The weighted average interest rate for all finance receivables at the end of the quarter was approximately 16.4%, flat from the prior year quarter. Gross profit per retail unit sold increased $377 to $5,232 or 7.8% compared to the prior year fourth quarter. The gross profit percentage was 40.5% compared to 40.7% for the prior year quarter, and up slightly from the sequential quarter at 40.3%. The increased average selling price resulted in lower gross margin percentages that higher gross margin dollars as our gross margin percentages are lower at a higher selling price. The majority of the vehicles sold during the quarter were purchased prior to the beginning of the pandemic, however with lower vehicle purchase prices in the market since the pandemic, we feel we will be able to purchase a slightly newer vehicle with fewer miles for approximately the same purchase price which we hope will eventually result in more of a leveling off of the average selling price. We did see a slight increase in the number of SUVs sold in this quarter over the prior year quarter as well. While we did hold off on inventory purchases for a period of time to preserve cash flow, and until we had some clarity on restrictions and sales volumes during the pandemic. We do expect to have some good opportunities moving forward to purchase quality vehicles at a better value. SG&A for the quarter was up $2.3 million compared to the prior year quarter at 17.7% of sales compared to 18%. The increased spend over the prior year quarter is primarily due to payroll costs for additional associate count as well as investments in pay benefits and training. As a reaction to COVID-19, we did significantly reduced expenses including part-time and hourly payroll, as well as other non-associate related expenses. We were expecting even better leveraging for the quarter prior to the disruption related to the pandemic. The health and safety of our associates and customers was priority, however, we also focused on maintaining workforce engagement with no disruption to associate benefits, so that we can adjust quickly as business returns to normal. For the current quarter, net charge-offs as a percentage of average finance receivables was 5.6%, down from 6.4% in the prior year fourth quarter. For the safety and concern of our customers and our associates, we did suspend personal visits and repossession efforts for a period of time during the pandemic. We're working diligently to get in contact with customers and help them through this process, if possible. We've started back our personal visits and certain repossession activities recently, and we've also begin testing additional outreach with our customers during these changing time with some interactive texting and emails. Again, all in an effort to work through issues and keep customers in their vehicles. COVID-19 has impacted many of our customers and resulted in increased past due amount with 30 plus past due at 6.2% compared to 2.9% in the prior year fourth quarter. As a result, we did increase our allowance for credit losses from 24.5% to 26.5% which amounted to an $11.7 million pre-tax charge to the provision in the fourth quarter. Our company has been built on helping customers through difficult times and our associates are demonstrating their dedication to this mission. The effective tax rate was 15% for the fourth quarter of fiscal '20 compared to 20.5% for the prior year quarter. Income tax expense included an income tax benefit of $160,000 and $434,000 related to share-based compensation for the current quarter and the prior year quarter respectively. We expect our base effective tax rate to be approximately 23.5% going forward prior to any excess tax benefits from stock option exercises. We continue to have strong cash flows and a solid balance sheet. At quarter end, our total debt was approximately $216 million. We had $60 million in cash and over $23 million in additional availability under our revolving credit facilities. Our current debt net of cash to finance receivables ratio was 25.1% compared to 27.8% at this time last year. For the year, we added $77.9 million in finance receivables, we repurchased $16 million of our common stock, we funded $5.5 million in net capital expenditures for a total spend of $99.4 million with only a $4.8 million increase in debt net of cash. Thank you. Now, I'll turn it back to Jeff.
Jeff Williams: Thank you, Vickie. I am very proud of our team and very proud of the fact that our results have been solid and our balance sheet has remained extremely strong, which is very impressive in these times. We are optimistic about our place in the world and the future of our company. What we do is unique. We will continue to invest in our people, recruiting, training and retaining, and look to continue to grow market share from our current locations. We believe that a large percentage of our existing dealerships could support 1,000 or more customers overtime. We will also continue to open new dealerships and currently have Cabot, Arkansas and Chattanooga, Tennessee in process, and those should open this first quarter. And then we also have new dealership openings scheduled for later in the year for Edmond and Norman, Oklahoma. We also believe that we will have some more opportunities to expand our footprint with strategic acquisitions for good operators with solid market positions who run great businesses. I'd like the folks at Taylor Motors, our recent acquisition. This was a tough business but we're tough people and our business model is strong. We believe we have an obligation to serve more customers at the highest level, and we will always push ourselves to do more. To be able to continue to service customers during the crisis, we were able to develop and implement curbside and home delivery processes and we will continue to refine our efforts as market demand dictates. Thank you to all of our great associates who have looked out for each other, and our customers and help make our communities better. We've done outstanding work in following our cleaning and social distancing protocols, and at the same time fulfilling our essential purpose in our communities. We grown closer together as a team and we've grown closer together with our customers. Now, we will open it up for questions. Operator?
Operator: At this time, the participants will now answer questions from the callers. I would like to reiterate that my earlier comments regarding forward-looking statements apply, both to the participants' prepared remarks and to anything that may come up during the Q&A. [Operator Instructions] Our first question comes from John Murphy with Bank of America. Your line is now open.
John Murphy: Good morning, everybody. And it's great to hear from you. Just wanted to start with the first question, just on your comments on demands being relatively strong and supply has been relatively tight. I mean, I was just curious if you can comment, what you mean by this debt demand strength? I mean, do you think you had more vehicles in inventory, maybe in the quarter or maybe in the coming quarters you can deliver a lot more and that you're just a bit supply constrained relative to what appears to be good demand. It just seems curious given some of your customers may have been the most impacted by this crisis, unfortunately. Just curious what you mean by that?
Jeff Williams: Well, you know when things just came to a halt we weren't sure what demand would be and we were looking to the larger used car market as an indicator of what might be happening in our section and some of the volume decreases are 50%, 60%, 70%. We initially thought we would be down by quite a bit and consumer demand would be down; and while we were down in the latter part of the quarter, we weren't down nearly as much as the overall market. And so, as far as losing sales, I don't know that we lost any sales during the quarter because of the inventory levels. We did end the quarter a little light in certain spots but the supply constraint to certainly is planning into this too. I think a lot of auctions just shutdown one afternoon and so there is quite a mess to get that started back up and cars flowing again, and our vendors and our repair shops, and there was just a big disruption in the supply of cars. But I wouldn't say that had a huge effect during the quarter, I do think we would have sold more cars in March and April, certainly if not for the pandemic; but the supply of cars, I think in and of itself wasn't the reason for the decreased sales. We could have sold more cars without the pandemic coming in the inventory -- with our inventory is as high as it was at the end of February and March.
John Murphy: Okay. Just maybe to follow-up on that, I mean, is there a way that you guys can give us sort of a cadence of the same-store sales through the quarter. And as we exited, what you were seeing about this year-over-year change? I mean, I think there was a lot of concern that demand might be -- previously, as well as zero and it sounds like you're -- you performed obviously lot better than that. And certainly, the exit rate of the year-over-year change because it's kind of -- maybe inform our thoughts about going forward?
Jeff Williams: Yes. Basically February was the first month in our last quarter, and we had a very strong February and we had a good first half of March. And for March and April, both of those months were down -- maybe low-double digits; so not nearly as down as much as the rest of the market, but we were down a little bit. But had a very strong February and then -- and March and April were down low double digits.
John Murphy: And Jeff, the exit rate in April, did that -- was that improved or was that, so roughly down double digits?
Jeff Williams: It was roughly double digits.
John Murphy: Okay, got you. Okay. And then on the workforce side, I'm just curious how you're dealing with the furloughs; and it sounds like you've decided to go furloughs as opposed to the PPP despite structure and I guess give us the way you look at the math. How tethered are you to those workers and how fast can you bring them back as the business normalizes and recovers?
Vickie Judy: We actually didn't furlough any associates other than a few part-time people. All of our other associates our hourly associates, we reduced hours, so that we were able to stay engaged. We were still able to stay in contact with them, that also allowed them to keep coming to work some; and so that was a big benefit there.
Jeff Williams: We still have all of our full-time employees. For the most part are still on our payroll roasters, still working, still engaged, still plugged in. So it was very evident to us right upfront that we had to keep our great associates in place and engaged as best we could until things normalize. I think we've done a really good job of that.
John Murphy: So as things normalize you can hit the gas on hours and just ramp back up?
Vickie Judy: Correct.
John Murphy: That's great. And then just maybe lastly around the provisioning, the provision that you took in the quarter; how should we think about that going forward? Do you think that was enough for what you're going to see in the next quarter or two? How do you kind of come up with that number and estimate that -- just kind of think about that provision and then losses going forward; how much could they ramp up? And how do you kind of calculate that [ph]?
Vickie Judy: That's a good question, John. It was difficult because we didn't -- weren't able to get in contact with our customers like we like to or repossess for a month and a half, they are going into the quarter or going and ending the quarter. Basically, we've just looked at delinquencies, we looked at historical amounts on when an account reaches a certain delinquency, what does that look like. But there is still a lot of unknown, what happens after all the stimulus money is done, after the extra unemployment runs out, how many jobs come back, and there is a lot of unknown out there but we basically just look to historically and where our delinquencies were.
Jeff Williams: But we did -- we were focused really on making sure the customers realize that, hey, we're here for you. We're here to keep you in that car, don't stress about your car right now, you've got other things to worry about. So really took a consumer-friendly soft approach and that appears to be really paying off for us. Now that the stimulus money is out, our consumers have decided to use a good chunk of that to get right on their contracts with us, stay in those cars, make payments. So, we're fairly optimistic that the adjustment we made is going to be enough. And consumers are reacting in a good way, they need what we do, it's not a discretionary purchase, this is a basic affordable transportation in areas that don't have public transportation. And then that character lending relationship we have with folks, we're really showing how solid those relationships are out there.
John Murphy: And just maybe if I can ask one last quick follow-up on that. We've heard anecdotally from dealers that in the $10,000 and less range of used vehicles there has been a bit of a step-up in demand for folks that are the one to get off public transportation on the margin. And I know it's not necessarily a cross-section directly with some of your markets; but some of them, there could be -- I mean, are you seeing any sort of change in the consumer consumption or demand that may dictate some of these lower end consumers moving off of public transportation towards individual ownership of vehicles like you provide?
Jeff Williams: You know, the areas that we serve really don't have public transportation. I can see in other areas where that might be a factor and that would serve to increase demand for that basic car which would potentially result in less deflation than we may be expect right now, but we don't just -- we don't serve a lot of areas with public transportation anyway.
John Murphy: Okay.
Vickie Judy: I think what we are seeing, John, is that the people that have a real need for a vehicle are out there shopping; those that might have a choice, it's more of a luxury or more of a warning something new other than a need. They are not getting out as much or didn't during this fourth quarter.
John Murphy: Great. Thank you very much, guys. I appreciate it.
Jeff Williams: Thank you.
Operator: Thank you. Our next question comes from Kyle Joseph with Jefferies. Your line is now open.
Kyle Joseph: Good morning, guys. Thanks very much for taking my questions. Hope everyone there is well.
Jeff Williams: Thank you.
Kyle Joseph: I wanted to get -- talk about credit for a while, and I know there is a lot of moving parts there, but just -- can you give us a sense for delinquencies trended through the quarter? Obviously COVID in mid-March, and then ultimately stimulus started flowing in mid-April; so just how those two factors really impacted delinquencies? And if you did see some relief in terms of delinquencies from stimulus? And then, also how that's been trending quarter-to-date?
Vickie Judy: So if you think about it, our fourth quarter is our big tax time, payment time, where we schedule a lot of seasonal type payment and there is a lot of consumers with cash during that time. So to Jeff's point, we started out February really well throughout the month of February and into March, and then everything just kind of shut down but we definitely did see a little bit of uptick when the initial stimulus money came out. And really, like I said, our collections weren't down by huge amounts; I mean a lot of that was related to the term increase. So I think as we move through this, and what the rest of the stimulus look like is yet to be announced; but overall, we felt pretty good about the customer payments in the contacts that we had with our customers.
Jeff Williams: In May, as -- so far May has been pretty good on the collection side too. So we're very pleased with our efforts in the field to work with customers and our customers response to our efforts.
Kyle Joseph: Got it. That's very helpful. And historically, your allowance has been fairly stable. But given all the uncertainty going on, would we expect that allowance to be a little bit to change a bit more frequently going forward?
Vickie Judy: You know, like just said, we hope that we've increased it enough to cover what's coming up here for the next year so that we don't like to change that a lot. But I think there is still just so much unknown right now that it would be difficult to say that we won't need to change it again.
Jeff Williams: And we focus Kyle on the net charge-offs more than the income statement provision, and even though we couldn't repossess -- didn't repossess the last 45 days of the quarter, we still feel like had we've been under normal collection processes, we still would have been under last year's percentages by quite a bit. Even with the pandemic and even if we were in normal operations, the fourth quarter as far as charge-offs go would have been less than the prior year.
Kyle Joseph: Got it. That's very helpful. And then, I wanted to talk about competitive trends. I was -- I think about your competitive environment in terms of other dealerships, as well as more broadly, the supply of credit. Can you give us a sense for competitive dynamics in both of those sort of geographies?
Jeff Williams: It's a little -- still a little dicey, little unknown out there. Anyone that has a lot of leverage on the balance sheet is probably going to struggle a little bit here. We know that there have been some securitizations that have been done, but with the enhancements and -- are a little more conservative. And -- so we feel like the fact that we've spent 40 years building up this balance sheet, it's going to put us in a great spot to continue to pick up some market share, and we don't have a lot of clarity yet on what the competition is faced with. And -- but we feel like, certainly there is going to be less lending down in our markets and a great opportunity for us to pick up market share, it's still a little bit hard to rate things at this point.
Kyle Joseph: Got it. And then, one last one from me. I just -- you talked that the auctions essentially shutdown sort of middle of the quarter, can you get -- give us an update, our -- is auction activity back to kind of where it was? I know it was virtual for a period of time but would you say the auctions are flowing at this point? Are there still some work to be done there?
Jeff Williams: Yes. I think there is still work to be done there, some auctions that maybe reigned [ph] physical auctions have switched to digital, and maybe they are going to stay digital. And so there is still some -- from our understanding, still some pretty good disruptions, and things to work out to get back up to square one. It's not flowing like it will eventually, and it was just quite a miss, and there is still some aspects of it that have to get worked out. But the product is not flowing like it will through the auctions at this point.
Kyle Joseph: Understood. Well, thank you very much for answering all my questions.
Jeff Williams: Thank you.
Vickie Judy: Thank you, Kyle.
Operator: Thank you. [Operator Instructions] Our next question comes from Vincent Caintic with Stephens. Your line is now open.
Vincent Caintic: Good morning and thank you for taking my questions. A couple of quick ones. So first, I appreciate the data as you gave on March and April trends. If you could maybe update us on what you're seeing on May so far that might be different? So, for example, the same-store sales being down double digits vehicle; how has that trended in May? And then sort of assuming that I think [ph] affected, started in the second half of April, maybe you could talk about how that has affected the business in May so far, if at all? Is it actually driving -- so that you've talked about payments improving, is it also may be driving more demand I thought you might be seeing in May?
Jeff Williams: I'd say May is pretty similar to March and April in terms of overall trends. And we're still seeing a healthy demand for our product, consumers are shopping, but it is a little less than last year at this point. As we mentioned, collections are strong but the stimulus money has been out there for a while now. And overall, our sales are down just a little bit in May in line with where we were for March and April. And again, we do expect that to continue to trend positive, we feel great about our market position and picking up market share, what we don't have much control over is the overall market for used cars and consumer sentiment and confidence in all that. So, we're going to pick up market share, it's kind of ahead of our hands as to what that market is short-term. But we're optimistic that -- that we're going to get our share of the market and that volumes are going to increase overtime.
Vincent Caintic: Okay, great. Next question on kind of -- on credit. So, first on the 6.2% delinquencies; does that include forbearance in this survey? You could split that out. And then, when you talk about the reserve increase for your credit reserves; are there any understanding -- it's difficult and you're looking historically for some context but is there -- what sort of loss rates are you assuming in your reserves? And I forget if you're subject to [indiscernible] in fact, anything now or maybe in the future quarter?
Vickie Judy: Yes. So, real quick on CECL; we're not expecting a large impact from CECL on the income statement. We already provisioned out for the loss of our loans, and so there is not a like or much if any expectation for a change there that will take effect this first quarter of '21 for us. And then on the delinquencies in the 30 plus, and how that relates to modifications; we didn't really do any forbearances, no 90-day deferrals or anything like that. We just continued working with our customers individually as we always have, and adjusting their payment schedules to what they can afford in the short-term until they started receiving their unemployment or whatever those different situations might be. So for the customers that we had been in contact with, and we're able to make those modifications, they would not show up in the delinquency numbers. But typically, those customers once we've got in contact with them and we've been able to work out an arrangement, those are much more successful customers.
Jeff Williams: And the modifications during the fourth quarter of this year were up just a little bit from the fourth quarter of last year. So, we – again, to Vickie's point, we -- we work with customers one on one, and there wasn't a huge increase in modifications year-to-year in the fourth quarter.
Vincent Caintic: Okay, that's really helpful. Thank you. Next, on the supply chain. So talked about how the options were down; I'm just wondering how much of it -- sure that has an impact. Does the auctions coming back? Is that -- what you do to fix the supply chain or are there other things that you're working on? And does new positions -- so I know that's been halted for a little bit. But at this stage can you back -- also hope your supply chain and overall inventory level?
Jeff Williams: Yes. The auction is getting back to full speed certainly helps the flow of product, some efforts that we have in place, and it had in place to streamline our procurement efforts with preferred suppliers, certainly as an opportunity for us; shops opening back up, repairing cars that need some attention is going to help. And -- so, we're confident that at some point, hopefully soon, things are going to return to a more normal state for used car flow, and it will have some good opportunities through auctions, through some online channels, and through our preferred vendor networks. And maybe even some new car stores at our -- maybe opening back up to us for supply, all those avenues and purchases from the general public and repossessions, as you mentioned, all of those are going to add to that supply and help us in terms of finding good solid, affordable, mechanically sound cars for our consumers and allow us to gain some market share.
Vincent Caintic: Okay, great. And last one from me. You talked about maybe potential store acquisitions, if you could maybe talk about the environment there? And are you hearing more of other folks, competitors may be willing to sell to you? Thank you.
Jeff Williams: Well, we have the Taylor acquisition in March, just before the pandemic, and we've been very pleased with that effort. It's going to be great for us. And we think there is potentially other opportunities like that out there; operators that have been in the business, run good businesses, and maybe looking to get out of the business at some point. It's a great way to exit and become part of our team. So, we're looking for good solid market dominant operators who might have an interest in becoming part of what we do, and we think there is some of those folks out there, and we would certainly be open and actively interested in solving [ph] those types of transactions and opportunities into what we do.
Vincent Caintic: Okay, great. Thank you very much.
Jeff Williams: Thank you.
Operator: Thank you. Our next question from John Rowan with Janney. Your line is now open.
John Rowan: Good morning.
Vickie Judy: Good morning.
John Rowan: I'm curious, when you guys had to stop repossession or curtail them; just -- can you give me an idea of how much that brought -- that -- actually the loan brought down your cash collections? I'm looking for a percentage, if you have it.
Jeff Williams: Well, we were down about $6 million on collections, almost $3 million of that was simply related to the term; so that other $3 million related to some modifications and some delinquencies. But when we stopped repossessing, that did stop some collections, it's hard to know specifically how much but we've certainly as far as -- so far in May, collections have returned back to normal, and -- so we're pretty optimistic on the collection side.
John Rowan: All right. Is the way to look at this -- I mean, you went from 16% last year to 15% this year, and that's about a 6% decline in cash collections year-over-year. Is it fair to say that maybe half of that is because of repossessions given that the 50-50 split you gave in the $6 million?
Jeff Williams: That could be a way to look at it, yes. It's not exact but that might be how far our charge-offs might have gone up, it's still be under last year's charge-offs but there might be a proxy to what true charge-offs might have been, asset recoveries and repossessions.
John Rowan: Okay, and then…
Vickie Judy: Because of the [indiscernible], because -- you know, we would have been able to have gotten in contact with a lot of those customers and typically once we can get in contact with them, we can work something out; so it's hard to say.
John Rowan: Okay. What -- do you have the per lot per month sales numbers from May; what was this year versus last year?
Jeff Williams: No. Other than the say that where -- May is so far trending where March and April were compared to prior years though.
John Rowan: Okay. And then just lastly, I just want to make sure, what is the current blended ratio on your debt? I just want to make sure I have it right. Obviously, as you move up, the rate can actually come down should I'm paying for unfunded commitments?
Vickie Judy: Yes. We're 2.3 over LIBOR.
John Rowan: Okay.
Vickie Judy: So we're just a little over 3% right now.
John Rowan: All right. Thanks very much.
Jeff Williams: Thank you.
Operator: Thank you. Our next question comes from Kyle Joseph with Jefferies. Your line is open.
Kyle Joseph: Hey, guys. Yes, sorry, one more follow-up from me. Just on sourcing inventory; we've been reading a lot of headlines about rental cars and not surprisingly, they're struggling and potentially looking to liquidate inventory. I'm just wondering, is that kind of -- would that fit your inventory base or is that kind of a different sort of car then you'd be looking to acquire?
Jeff Williams: We've been moving up market and really working on retaining long-term customers and not losing them from our family. So, I believe that rental car companies are going to be a good source of cars and good source of flows for us going forward, and we are actively looking at that as a good opportunity; much like a preferred vendor, if you will, and we're certainly working in that area in an effort to buy a newer lower model car, and keep some of our good customers in the Car-Mart family forever. So, yes, that's -- that would be part of our strategy.
Kyle Joseph: Got it. Thanks very much.
Jeff Williams: Thank you.
Operator: Thank you. Ladies and gentlemen, this concludes our question-and-answer session. I would now like to turn the call back over to Jeff Williams for any closing remarks.
Jeff Williams: Once again, thanks for your interest in Car-Mart, and thanks to all of our great associates out there. We have a great company, great potential, great future; and we're very excited about what we do, and why we do it, and we expect great things from ourselves. And just appreciate you guys listening in today. Have a great day. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.